Operator: Ladies and gentlemen, thank you for standby and welcome to the Newcastle First Quarter 2014 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. (Operator Instructions) Thank you. Ivy Hernandez. You may begin your conference.
Ivy Hernandez: Thank you, Vernal. And good morning, everyone. This is Newcastle’s first quarter earnings call. With me today from management I have Wes Edens, the Chairman of Newcastle; Ken Riis, the CEO; Justine Cheng, the CFO; and Andrew White, the Head of Senior Housing business. Throughout the call, we are going to reference the earnings supplement that was posted to the website this morning. If you haven’t already done so, I would suggest you download it now. And just briefly, please let me remind you that statements made today are may be forward-looking statements. These statements, by their nature, are uncertain and may differ materially from actual results. We encourage you to read the forward-looking statements disclaimer in our supplement, as well as the risk factors in Newcastle’s 10-Q, which we will file after this call. I would also like to remind you that nothing on this call constitutes an offer to sell or a solicitation of an offer to purchase any securities and the webcast and audio cast is copyrighted material of Newcastle and can’t be duplicated, reproduced or rebroadcast it without our consent. And with that, let me turn the call over to Wes.
Wesley R. Edens: Great. Thanks Ivy, thanks everyone. I am going to refer to the supplement so if you could just start with page number two, and let me give a little bit of an overview, and then I will turn it over to Andrew, who’d like to talk about the Senior Housing. So, Page two, start with the economics. The quarter was very steady one; we had core earnings of $33.7 million, or $0.10 per basis share. We get a dividend of $0.10. GAAP income of $0.01 per share, but that includes depreciation and amortization of $34 million. As our real estate portfolio is growing, so it’s good as growing our depreciation, but the core sustainable numbers are very, very positive. Page number 3, just a few of the highlights for the quarter. Top of the list, as we continued to expand and grow our senior housing portfolio and it has performed extremely well. Andrew will detail that here in just a minute. But, we are right now running at just over $500 million in invested capital into the space. It’s one of the largest public senior housing independent living companies in the United States and the performance has been terrific. We think that’s going to be real catalyst for valuation for the company and I’ll talk about that maybe a little bit at the end. Second, the debt business, Kenneth had a very good quarter as well. We had strong returns for the debt portfolio during the quarter. Our credit markets continue to perform extremely well. We had $28 million in net proceeds from the sale of the agency portfolio that we no longer need to generate some modest gains, and generate some substantial recoveries from the portfolio over the quarters, that’s good. Lastly, we spun-off New Media. New Media asset spin out was $12.30, it is trade level, substantially from them, they had a very good initial quarter as a public company, we think the prospects for that business are very bright and that creates a lot of value for the Newcastle shareholders. Page 4, just a business at a glance in terms of the economics. Senior Housing business there is the $503 million of net investments as of the end of the quarter. Targeted yield on that 17%. The CDOs and debt businesses $543 million, 14% the Golf portfolio is kind of latest addition to our stable of investments and something like that. I think actually has a great prospect I’ll talk a little bit about that further on in the call, but we think just north of 20% return and then $40 million in cash on hand. Last page, page 5, at last speak that too before I turn it over to Andrew. The business line economics, we try to do on this page, it’s basically just put valuation metrics around each one of the lines of business and then give a range of outcomes to give some sense of what we think. But potentially as for our share price depreciation and the answer is a very good one, kind of the low end of the range, it’s around $5.5 a share. The top of the range is just under $7.5 a share. I think that these are relatively conservative estimates honestly and then, if we can provide clear transparency and visibility to investors in each one of these lines of business, I think that the upsides from a valuation standpoint is substantial. So, with that, let me turn it over to Andrew, who will walk through the Senior Housing. Andrew?
Andrew White: Yes, thanks Wes. So, full things for the first Senior Housing slide, which is page 7. This is a summary of the market opportunity as we see it. As we discussed in the past, this continues to be market that is dominated by smaller players, which we think creates an opportunity to build value through consolidation. And we really try to organize our sales around capitalizing on smaller opportunities. So we build the team that focuses on sourcing off market opportunities and to date 95% of our transactions have been non-broker transactions. Before I turn to fragmentation this continues to be market with a huge supply-demand in balance. Our target demographic is the fastest-growing cohort in the U.S and we think you provide the tailwind on the operating side of the business. And it continues to be a lot a noise around new construction, but we think it’s important to put this in context. New construction on independent living assets is still at all time lows and about 60% of our portfolio is independent living. New construction across Senior Housing more broadly is still moving back to 2007 levels, which is a fraction that historically pre-construction levels. So, we’re only not that concerned about the impact that construction will have on our business in the near-term. Overall for the market, we think the continued fragmentation in the industry creates an opportunity on the buy. And we think the supply demand fundamentals continued to create a good opportunity for value creations through improved operating cash flows. Looking to the next slide, to-date we’ve acquired 86 properties with 10,500 beds and we continue to have a significant pipeline. We targeted $400 million of incremental equities investments a year, which is a goal we exceeded last year. And we’re pleased with the progress towards that goal this year. Our strategy has been and continues to be the focus on private pay, independent living and assisted-living assets. We know – giving there is a range of different product types within the healthcare universe including senior housing, medical office, hospital and life sciences that at times it can be tempting long all senior housing into the same group. So, we thought it might be worthwhile to spend a few seconds talking about the different products within senior housing. And, explain how we’ve created a really differentiated portfolio. So, turning to next slide, this slide lays out a spectrum of products ranging from multi-family where there is really no healthcare delivery, so senior apartments on the end of the spectrum, so skilled nursing on the other end of the spectrum, which is true post acute healthcare delivery. On the multi-family and independent living side of spectrum these are products that really have no government pay risk and no regulatory over side risk. As a result, we expect to see tighter valuation yields, where there is lower equity. And we’re really pleased with how our portfolio is beginning to take shape. And nearly 60% of our portfolio is independent living and the balances assisted-living. We really think we have the only pure eye on AL pure private pay portfolio in the REIT space. So as we’ve said in a number of occasions, if you want exposure to the aging demographic and you want to exposure to be outsize yields that come with senior housing, but you don’t want exposure to government pay risk, there is not a lot of places to find that. So we think we’ve put together a pretty interesting portfolio. On the next page, we provided the results from Q1. Our same-store managed portfolio is generating 23% cash-on-cash return to the quarter, and it's 26% cash-on-cash returns for the month of March on a run rate basis. Our total managed portfolio is generating 16% cash-on-cash returns and our total portfolio which includes the Holiday net lease is generating 14% cash-on-cash returns and that includes Holidays net lease with a 13% yield. And obviously with the escalators built into the Holiday lease, the net leas yield And obviously with the escalators built into the Holiday lease, the net lease yield grow predictably over the next few years. So overall we are very pleased with the operating performance new investment returns. On the last page, we provided a snapshot of our pipeline. The first quarter was a bit slow in terms of closed transactions, it was actually very active quarter for building our pipeline. So as I mentioned earlier, we’ve targeted $400 million for the incremental equity investments a year and we are pleased with our progress towards that goal, and we think we are on pace to meet that goal this year. With that, I’ll turn it over to Ken.
Kenneth M. Riis: Thanks, Andrew. I’ll start on Page 13, in the supplemental package and then talk about the legacy portfolio. We continue to actively manage our legacy portfolio and are working really hard to maximize recoveries. So the highlights in the quarter, the portfolio pay down $165 million and we sold $500 million of Agency ARMS at a price of 106% of par. We ended the quarter with $101.3 billion face amount of assets financed with $680 million of debt. So $620 million of direct holdings on our balance sheet in which we expect to recover $543 million of capital, if we hold the assets to maturity. Credit and valuations continue to improve. On a same-store basis, the fair value of our portfolio increased in price from 80% to 84% or $43 million in the quarter. Also at the end of the quarter, we reclassified our $223 million manufactured housing loan portfolio as held for sale. We’ve planned to sell the loans at a current market value of the portfolio at 104% of par, so when the sale is finalized and we closed, we’ll come back and provide more detailed information to shareholders. So moving on to page 14. Cash generated in the quarter was very good. The portfolio generated $71 million of cash flow, as we benefited from our direct holdings especially in our CDOs and capture a large amount of principal recovery, as assets pay down. To illustrate this concept let’s turn to Slide 15, where we highlight CDOs VIII and IX. These CDOs are meaningful to Newcastle, 77% of our legacy assets and 76% of our principle recovery, or $440 million is projected to come from these CDOs. Going forward we will continue to benefit from our large ownership of these deals. So on this page, we highlight in green Newcastle’s ownership of each CDO. So for example let’s look at CDO VIII. There are $488 million of assets, $173 million of third party debt, so Newcastle own $350 million of the capital structure. We would receive over time $315 million if all the assets paid off of par, but today we are projecting to recover $265 million before a small amount of balance sheet financing. I continue to believe that our recovery projections are conservative and we are working hard to improve these going forward. Now, I’ll hand it over to Wes, to talk about Golf.
Wesley R. Edens: Great. Thanks, Kenneth. Now turn to page 17 please, just to start the discussion. So I guess I mentioned to you in our last call, we had previously acquire the debt of American Golf, that debt was converted into an equity investment just prior to year end. And today, we are the owner of American Golf and National Golf properties, that makes us the third largest operator and fourth largest owner of golf courses in the U.S. with the total of 92 courses, 34 leased, 27 owned, 11 managed. You see we’ve got material concentrations in California in particular which is a traffic market and into less expand across the south and handful holdings up in the both the Northwest and the Northeast. The total investment is $79 million investment at this point and we’re targeting 22% return. So Page 18, the industry is a very large one is a total of approximately 15,000 golf courses in the United States given the size of those and incredibly fragmented one. The top 20 owners of courses only owned 3% of the entire high so you can see the mom-and-pop owners are very, very substantial and we think that creates a tremendous opportunity. I think what the business plan that is taking shape is to first you know stimulate the business that we bought and get the numbers in the right place there and as the process are happening and then look to add incrementally what we think we can add opportunities to generate 20 plus percent returns on a one off basis. The industry itself has – had a difficult period during the financial crises, we think that there has been, we see in our own portfolio substantial recovery over the last couple of years. That is stressed over that difficult period in the financial markets in the U.S. has caused we think a lot of courses there now free to trade. There is the substantial amount of portfolios and individual assets on the market. And so it was very early on and we have not made any additional follow on investments to date we think there is a good opportunity to do so. We look forward to giving you progress with that as we go along. So, with that Justine for financial.
Justine Cheng: Thanks, Wes. Turning to our financial results on Page 20, Newcastle had another solid quarter and core earnings was up significantly from last quarter at $34 million or $0.10 per share and $27 million or $0.08 per share in the prior quarter Today as Wes mentioned, Newcastle consistent three segments. Our growing Senior Housing business, our run off legacy debt portfolio and our newly acquired golf business. For this quarter the 26% increase in core earnings was primarily driven by a full quarter performance from Holiday, which we acquired at the end of December and two newly acquired managed properties in January. Also reflected in our results is the impact of our golf business, which we acquired on December 30, when we restructured an existing debt investment in our CDOs. This will be the first quarter where we consolidate golf earnings and you will find that breakout in our segment results in the 10-Q. Golf is a seasonal business with the first and the fourth quarter being the low points and the second and third reflecting peak season. As such, golf earnings this quarter was slightly negative contributing a 3 million loss to core. Lastly for core, this quarter’s result includes 1 million of earnings from the 44 days that owned New Media. Going forward, this segment will show up in our financial statements under discontinued ops. Our GAAP income which includes non-cash charges and other income and acquisition related expenses with $4 million, or $0.01 per share for the first quarter. This includes $34 million or $0.10 per share of depreciation and amortization, principally from our leased Holiday portfolio and our golf properties. And we will continue to see D&A increase as we buy more real estate assets. Turning to our balance sheet we ended the first quarter with the total of $503 million or 43% of equity invested in our senior housing business. As Andrew discussed we have a very strong acquisition pipeline and we expect our invested equity to continue to shift into senior housing over time. In addition, in the first quarter we ended with the cash balance of $40 million. On March 14, we declared a Q1 common regular cash dividend of $0.10 per share or $35 million. In addition, taking into the account the New Media stock distribution in the first quarter of $0.89 per share. The New Media spinoff represented an additional $312 million of value to shareholders, since the New Media spinoff the stock prices depreciate 16% from the fair value at time of spin. To wrap up we had a great start to the year and I look forward to updating you on our results in the second quarter. I will now hand the call over to the operator for Q&A
Operator: Thank you. (Operator Instructions). Our first question is from the line of Douglas Harter with Credit Suisse.
Douglas M. Harter: Thanks, I was just wondering on the in contract deal for Senior Housing, says that, you need $230 million of equity for $320 million of assets that that seems much higher of an equity contribution and you’ve been doing in the past, any reason for that?
Kenneth M. Riis: Yeah. I think the particular deals we have in contract now; we think we got actually pretty healthy going in yields kind of 10 plus percent unlevered yields. And so we thought that’s particular kind of contiguous acquisition was a good opportunity to begin to take the leverage down a little bit, while still delivering returns consistent with what we’ve done in the past. So it’s a little less leverage for this particular set of closings.
Douglas M. Harter: Got it. And then that’s kind of going to be deal by deal specific as to kind of where you are targeting the leverage?
Kenneth M. Riis: Yeah, it’s a function, not only the government yields, but the risk profile of the particular deals as well. But I think it will be deal by deal, but I think over time we’ll bring the leverage down a little bit more it’s been over the last 12 months.
Douglas M. Harter: Great, and then I guess just shifting to the Golf business I understand that seasonal, so – should we expect to over the course of 2014 be able to achieve that 20 plus percent return or is that more kind of aspirational that – you need work to be able to get there?
Kenneth M. Riis: I guess it’s aspirational in a sense that this can take some time to do a handful of the key things that you intend to get done. I think our run rate returns should near that though. And just you said the kind of core season is really a second quarter and a third quarter phenomenon. So, I’m optimistic that will have some good financial results that will show clearly kind of where the portfolio is during the third quarter.
Douglas M. Harter: Great, thank you.
Operator: Thank you. Our next question is from the line of Bose George with KBW.
Bose George: Good morning. Actually, first just wanted to confirm are the golf investments good REIT assets, or would they need to separated at some point?
Kenneth M. Riis: Yes, some point that need to be structure to be a standalone investment as net leas, right now we have lots of the lead way to own them kind of as they are, but that something structurally will definitely make some adjustments to it in the future.
Bose George: Okay. And then actually just switching to the Senior Housing the – can you just characterize the competition in that market had there been any changes recently as just on the competition side also the typical mom and pop operator how large is one of them?
Wesley R. Edens: Yeah. I think there continues to be healthy bit of competition for the larger and more widely marketed portfolios, so portfolios of a $1 billion plus will see 10 or 12 bids for a portfolio of that size. But our strategy has really been to focus on the off market and non-broker transaction. So as I mentioned 95% of our yield flow to date has been in non-broker transactions, where we are one on one for seller. In many cases we initiated conversations and really start the process for the seller. So I think we’ve largely the initiative we are planning I think we largely seen less competition, then you might read about. But is the mom and pops space we kind of defined as the regional operators with 15 or fewer assets, practically speaking our deal flow has been kind of mix of little bit of single asset or two asset deals on the low end and 8, 10, 12 asset portfolios in the high end. So it’s well over the place, but generally smaller regional portfolios.
Bose George: Great, actually can you just talk about why the yield on this particular portfolio is higher?
Wesley R. Edens: It’s just a good price point for the portfolio. So I think different deals we get at different price points and one of the benefits of transacting on the smaller portfolio is there not a lot of price transparency and there is not a lot of competition. So we think we’ve got this particular crop of asset today in order to get price.
Bose George: Great. And just one last one as you think about spinning out the real property business I mean what you would need to see is there certain size that you guys need market conditions or just any color on that would be great.
Kenneth M. Riis: I think that as we’ve said before, we don’t want to spin out a company and that would be too small to be relevant, there is not a hard and fast rule as what would make it relevant and given the growth that we’ve experienced in this portfolio and you see that the landscape is shifting fairly quickly in terms the size of it. I think at this point with $500 million of investment capital and $700 million kind of perspectively on the very near term horizon. I do think it is large enough on a standalone basis, and it’s something we’re considering very, very seriously. So there is nothing to report in terms of the spin today. We haven’t taken any action with our board or with the SEC or anybody, but it’s something we are definitely looking hard at and hopefully what gives on that sooner rather later.
Bose George: Great, thank you.
Operator: Thank you, our next question is from the line of Jason Stewart with Compass Point.
Jason M. Stewart: Thank you. Just to follow on the last question. If you do end up spinning the senior living, what is the plan for the legacy Newcastle business is it to return to the core DNA of a commercial real estate or turn to triple net at least on the golf course any thoughts would be helpful there?
Kenneth M. Riis: Yeah, I think that the debt portfolio that we managed has had a very good run in last number of years. But we think that the amount of capital to come out of that business is still substantial. And for the most part in our estimates that comes out over the next couple of years. So there still will be some residual portfolio there that we will be really trying to milk to get the last return out of. The golf investment is the first investment that I have seen really since the senior housing that I think has the prospects for being a business line and not just a trade. And so we are very actively evaluating both the current portfolio and management and what we think the prospects are for the industry. And I’m optimistic that there could well be just given the scale of the business and the – kind of the contrary nature of it that there could be some substantial opportunities to really turn it into a very viable and robust business line. But that’s all working process right now and I think that people’s assumption should be what ours are right now which is the senior housing business clearly a line of business, clearly something we are contemplating getting transparency and separating out. The other debt business and now the new golf business are very much still works in progress and we’ll update you as we make progress with them.
Jason M. Stewart: Okay, so that business runs off and you look at the portfolio in the CDOs, are there any other opportunistic investment opportunities on the horizon or is that primarily in the past.
Kenneth M. Riis: I think, positions change these are pretty robust credit markets. So just when you look at the price performance of our assets over the last handful of quarters, it gives you a pretty good window into what’s happening in credit generally. So these are better times to be liquidating and divesting debt investments in my judgment than making them. Its not that you can’t make good debt investments, but it’s difficult, it’s pretty idiosyncratic and it’s hard to find a real rhythm to it. So I don’t think that the real estate related debt market in our judgment are that interesting right now. And that’s why we have been a seller and a liquidator of these investments rather than a buyer of them. So its not that they are necessarily above all of this there is a new climate of things in the future, but it’s just that it’s a good time to be liquidating them so.
Jason M. Stewart: And then one last one, it looks like, I just need some help with the math here, because it looks like, if you equate the $230 million of equity needed to close that portfolio Andrew, if you equate it to cash, $40 million of cash, even if you sold the $60 – the manufactured housing, and took $63 million out of equity, I’m still falling short I think and I’m sure I’m missing something, but as the capital you need to close that portfolio, if you could just help me put that math, that would be helpful.
Andrew White: The debt portfolio itself is a very liquid one and so there is choices that we can make in terms of constantly looking at, sign investments in order to make reinvestments or not. So obviously also we could sort of raise in capital, but I think that for the most part right now we are very focused on internally generated funds. So.
Jason M. Stewart: Okay.
Andrew White: All right.
Jason M. Stewart: Thanks.
Operator: (Operator Instructions) Our next question is from the line of Matthew Howlett with UBS.
Matt P. Howlett: Yeah. Thanks for taking my question, just a follow-up on that I mean in terms of internal capital versus raising external capital, is that – you mentioned that’s still the plan, is that something you just – in terms of funding this in contract pipeline. Is that something that you will just term in to see how markets play out the next several months? I mean your cost of equity is still significantly higher from a real estate standpoint compared to the other senior housing peers out there. So just as it – it wouldn’t seem to make sense to raise external equity at this point.
Kenneth M. Riis: Well, I think that that’s right on kind of a simplistic basis. I think that we are trying to get from a bunch of individual an attractive investments to a standalone company that’s got the capital structure to match up well with the rest of the competitors and landscape and there maybe a cost of capital to get there, but we think that their net benefit that could be substantial. When you look back at the some of the products page if you truly look at just a senior housing stuff versus other real comps that I think you can see huge embedded value in what we have done already and we are in the process of closing and so this is all in the context of trying to generate the highest returns we can for shareholders. And I think that from a standing start a couple of years ago, we’ve done a great job in my opinion of creating some real value with this portfolio and now the last step of that is to get – really paid for that in share price and so how we get from here to there in the last step is something that we need to figure out, we have lots of different tools to work with.
Matt P. Howlett: But I think that sort of would bring on the spend if you felt like the yield requirement didn’t reflect senior housing of Newcastle then you would move most of it just to spin that out, that’s how sort of we can?
Kenneth M. Riis: Yep, that’s right. I mean I think when you look at the press today, I don’t think that actually the price it all reflects the value in that portfolio in particular and we’ve had success and we’ve done this in other cases, where we felt like it was now big and robust enough and had enough visibility to what its like would be as a big standalone company to go out and get a real evaluation for it. Even the New Media stuff recently when we made the investment, and we had restructured it and we are talking about spinning it out, I think there were some skepticism with regards to how well that would be received and how it’s traded. The answer is its actually traded extremely well, the company is performing really well and we think it has a ton of upside from where it is right now and I think that that’s a pretty good case to point for what we think could happen on the senior housing stuff, so.
Matt P. Howlett: Just two questions on the senior housing, one I mean do you feel like you have access to unsecured debt market or some additional capital flexibility in the senior housing, if you have to spin that out. And then two, I mean are you still considering other net lease transactions, any portfolio out there that might be similar to what you did with Holiday last year?
Kenneth M. Riis: The answer to the first quarter is that I think as a – if we were to be a standalone company, we would definitely want to have a capital structure that had the flexibility to have both unsecured debt as well as secured debt, and at least one of the considerations we look to capitalize new investments now is that while they may appear to be less leverage than what you would get in the ordinary course on a secured basis, it maybe that the right way to do it is step into an unsecured flooding. Its hard to do that when you are part of the complex, but it is right now much easier to fractuate that I think if it was a standalone company, but if it was to be a standalone company you would definitely want to have both the major financing tools and the tool kit, both secured and unsecured debt and specifically the answer to that – I think we could access that the answer I think is resounding absolutely and when you look at the cost of capital of some of these senior housing REITs, they have done a terrific job of generating some very, very attractive yields on the right hand side of their balance sheet and that’s something that we pay attention to.
Matt P. Howlett: Got you and then on the triple net lease, anything, that’s still part of the game plan, is that portfolio you would still eye in a portfolio that came in your way.
Kenneth M. Riis: Yeah, I think there is a one-by-one stuff that we have reported on and we are always interested and active looking at larger transactions, I think the bulk of the portfolio has been pulled together to the hard work of Andrew and the team on the one-by-one stuff, but if we thought there was a big portfolio that would add to the [indiscernible] of the business, we would definitely pursue it.
Matt P. Howlett: Great and then just last question, this is for you Ken. The interest income on the CDOs is down for $5 million – $5.2 million one is that specific ongoing run rate that we should model. Two, my guess is that CDO VIII it’s deleveraging, so it’s not sharing as much residual income. I mean is that – I mean would you look to collapse that potentially or do you feel like holding on to it for the upside in the collaterals, the better trade there.
Kenneth M. Riis: Well in terms of the run rate yes I would say that our results this quarter would sort of guide you to what the run rate will be in our CDOs going forward and yeah in terms of maximizing recovery of principle, the longer we hold it, the more we are going to receive. So I’m timing that as we need capital, but with no use of capital obviously we would owe it to maturity, because there is still a delta between if we sold it today versus holding to maturity of about $100 million and its hard to make $100 million. So again we have the flexibility within that portfolio to sort of do what we want, but, it’s going to generate still good returns and we will time the recovery principle as we see fit.
Matt P. Howlett: Right, well it’s good to see that the cash flows are diversifying away from the legacy CDO. So congratulations on a pretty good quarter.
Kenneth M. Riis: Thanks.
Operator: Thank you and at this time, there are no further questions in queue. I would now like to turn the call back over to Wes for closing remarks.
Wesley R. Edens: That sounds well. Thank very much for calling in. I think that we’ve got a lot of great progress on the various initiatives in the company and I think we’ve got some potential for some exciting announcements here in the near future. Thanks very much.
Operator: Ladies and gentlemen, thank you participating in today's Newcastle First Quarter of 2014 Earnings call. You may now disconnect your line.